Operator: Good morning, and welcome to Klabin's conference call. [Operator Instructions] As a reminder, this conference call is being recorded and also being transmitted simultaneously via webcast which can be accessed through Klabin's Investor Relations website where the presentation is available. Any statements eventually made during this conference call in-connection with Klabin's business outlook, projections, operating and financial targets and potential growth should be understood as merely forecasts based on the company's management expectations in relation to the future of Klabin. Such expectations are highly dependent on market conditions, on Brazil's overall economic performance and on industry and international market behavior, and therefore are subject to change. Present with us today Mr. Cristiano Teixeira, CEO, Marcos Ivo, CFO and IRO and the Company's officers. Initially, Mr. Cristiano and Mr. Ivo will comment on the company's performance during the second quarter of 2023. After that, the officers will be available to answer any questions that you may wish to formulate. Now I will pass the call over to Mr. Cristiano. Please go ahead.
Cristiano Teixeira: Welcome to Klabin's earnings conference call for the second quarter of 2023. Based with the market scenario that has been and continues to be challenging for the pulp and paper sector, Klabin from a diversified product portfolio and its commercial dynamism, once again used the integrated business model, generating EBITDA of BRL 1.3 billion in the period, a performance relatively higher than the average of its global peers. In the pulp business, the softwood fluff once again presented a resilient demand and high prices, mitigating the price drop in the short fiber pulp products. In the paper business, specifically, container board, given the market situation, we maintained market production stoppages and a higher level of integration in our corrugated box division, bringing stability and profitability with the integration. In coated boards with the start-up of machine 28, we started the process of qualifying the products with our main customers. In the packaging business, we performed well in terms of volumes and profitability. And in the industrial bank segment, Klabin's relevance in the domestic market brought sound business results. Now I turn the floor to Marcos Ivo, who will bring the financial details of the second quarter of '23.
Marcos Ivo: Thank you, Cristiano. Good morning, everyone. Thank you for attending our conference call. Sales volume in the quarter was down 15% compared to the same period in 2022. This drop is substantially explained by the general scheduled stoppage for maintenance at the Puma unit in the month of April and the lower demand for Kraftliner in the foreign market. Net revenue in the period was BRL 4.3 billion, down 15% year-on-year. This reduction is the result of corrections in pulp and Kraftliner prices and lower sales volume. EBITDA was BRL 1.344 billion in the second quarter of 2023 with adjusted EBITDA margin of 31%. Moving on to Slide 4. We highlight once again the flexible sales mix between geographies and the portfolio with 3 types of fibers; short fiber, long fiber and fluff, which benefited the average price in the pulp business, driven especially by fluff and the execution strategy. The cash cost of pulp production, excluding the impact of the maintenance stoppage was of BRL 1,363 per tonne in the period, the same level as in the previous quarter. Adjusted EBITDA of the Pulp segment was of BRL 389 million in the quarter, representing an adjusted EBITDA per tonne of BRL 1,162. Now on Page 5, in the coated board segment, sales volume was 170,000 tonnes in the period. The net price per tonne of coated board reached BRL 5,594 in the second quarter of this year, an increase of 15% year-on-year. Driven by price adjustments, net coated board revenue reached BRL 951 million, an increase of 20% compared to the same quarter of 2022. On the next page, in the corrugated box segment, sales volume in square meters grew 1% in the second quarter of 2023 when compared to the same period in the last year. The net price per tonne of corrugated boxes reached BRL 5,925 in the period, an increase of 6% compared to the same quarter of '22. Leveraged by price adjustments, net revenue for corrugated boxes reached BRL 1.3 billion in the quarter, representing a 5% year-on-year growth. I also highlight the adjusted EBITDA per tonne in the Paper and Packaging segment, which reached BRL 1,831 per tonne, showing the resilience and stability of these markets. On Slide 7, adjusted free cash flow, which excludes discretionary factors and expansion projects, was positive at BRL 787 million in the quarter. In the last 12 months, adjusted free cash flow reached BRL 4.6 billion, representing a free cash flow yield of 21%. Now on Page 8. At the end of June, Klabin's net debt was BRL 19.5 billion, a reduction of approximately BRL 1.5 billion when compared to the end of March. This reduction is mainly explained by the positive effect of the appreciation of the real against the dollar on foreign currency indebtedness with no material cash effect in the period. Leverage measured by the net debt over adjusted EBITDA ratio in dollars ended the quarter at 2.8x; the same level as the previous quarter and within the parameters established in the company's financial indebtedness policy. Moving on to the next page. Klabin's liquidity remains robust and ended the quarter at BRL 8.4 billion. This liquidity consists of BRL 6 billion in cash and the remainder in a revolving credit facility. The company's cash position is sufficient to repay the debt that matures over the next 44 months. The average maturity of the debt at the end of June 2023 was of 104 months, equivalent to almost 9 years. Klabin has contracted and not yet withdrawn financing in an amount higher than the CapEx that will still be disbursed until the completion of the Puma II project as detailed in our earnings release. Moving to Page 10. According to the notice to shareholders published yesterday, the company has approved the payment of dividends in the amount of BRL 269 million to be paid on August 15. On an accrual basis, shareholder remuneration paid over the last 12 months totaled BRL 1.541 billion. This amount represents a dividend yield of 7%. On Page 11, the first stage of the Puma II project, MP-27 continues through its learning curve, having reached production of 364,000 tonnes in the last 12 months. On the next page, the second phase of the Puma II project, MP-28 is on its learning curve with the expectation of producing approximately 165,000 tonnes in 2023 between Kraftliner and coated board. Since the beginning of the project, BRL 12 billion has been disbursed, of which BRL 433 million were in the second quarter of '23. Moving to Slide 13. In June, we released the 2022 sustainability report and updated the ESG dashboard, which brings all of the indicators of environmental, social and governance aspects, transparently sharing the company's evolution in its sustainability journey. In addition, in the second quarter, Klabin was included in the prime category of the ISS ESG corporate rating, completing the company's leadership in the sector in the main ESG ratings. On the last slide, I share with you a photo of MP-28, an important milestone of our company. Now Cristiano, the other officers and myself, remain available for the question-and-answer session.
Operator: [Operator Instructions] The first question comes from Rafael Barcellos with Santander.
Rafael Barcellos: Congratulations on the results. The first question has to do with the decisions of the companies. After Flavio Deganutti left in June, the Statutory Officer for paper, this position came to an end. And some areas are not statutory anymore reported to Cristiano. Cristiano, I would like to better understand this move. And in practice, what changes in terms of the company's daily routine. The second question is about capital allocation. Cristiano and Ivo, now that the second machine in Puma II already started up operations, what are the main discussions today in terms of capital allocation at the company? Should we really consider growth with an announcement next year? And if yes, what are the business lines of the company that are eligible for a growth project? We also realized that you had an announcement, a notice about dividends last night. What about balance between growth and dividend or even if any payback or buyback products and programs could be part of the strategy?
Cristiano Teixeira: Rafael, first, let me comment. Let me comment on the second part of your question about capital allocation and I'll be joined by Marcos Ivo and then I'll conclude with more, soft topic about people and management. Just to give a softer spirit to the second part of the question. When it comes to capital allocation, perhaps this is one of the main strengths of Klabin. And I'm not only referring to our recent years, but the whole history of the company this criterion about capital allocation. So the first part of the question, and I'll leave the second part of the question about the protocol and the policy. But first, let me talk about the more conceptual aspects about growth and dividend payout and also tapping into opportunities. I believe you understand and you realized a circumstance that is cyclic about commodities. And as a result, the price of commodities, prices per tonne and by the way, I'm not only referring to pulp and paper, but I'm including all commodities, including agricultural commodities and I also talk about land price and forest price, et cetera. So today, we live in this moment in which we left behind a strong growth period. I guess, Klabin did manage to benefit from nearly all opportunities there were for us, be it by forest expansion are involved in new technologies brought by state-of-the-art machines and also access to markets. So sometimes, this is too specific to get into details today. But access to paper, packaging and also innovation and research and development in recent years, which transformed the company. So I'd say that the company's growth cycle and as you know very well because it's a cyclic industry and within this cyclic sector, the pulp and paper industry is part of a more macroeconomic commodity cycle. As a result, sometimes, it may happen that we are into a process of global market, which is precisely what's happening now in our industry. And then some opportunities begin to come up. There is no M&A being considered at Klabin as we speak. But because we have a readjustment and reprice of assets in general from fibers, commodities, agricultural assets, et cetera. So this repricing of assets may appear as an opportunity down the road. However, right now, the sector is against cycles, drop in prices, reduction in margins, not only at Klabin, but worldwide. So now there is a dilemma of a highly capital-intensive sector. So when we are against the cycle, the discussion is very hectic, because we have to allocate capital in terms of growth and also Klabin's opportunity right now, because it's becoming more diversified with highly added value products like fluff and also LPD. These are more stable products. So in times like these, there are opportunities. So this debate is necessary. And it commonly happens at the Board level and in our management. But it seems to me that to date, when it comes to this dilemma growth versus our dividend, I guess this debate is very positive and valuable. And we are very happy to share with you based on the figures published, what Klabin managed to do on our ROIC for the last decade. So when it comes to strategy right now, there is nothing that we have to be prepared for. However, I have to share with you that an industry that is so high capital-intensive as ours and subject to cycles, these dilemmas come up regularly when opportunities come up because the real price of assets begin to go down just as the market, when we have these margins and results. We don't have future numbers to justify by pure maths and financial aspects, these investments. So that's a very positive discussion. And I believe Klabin has been playing its role well for many decades. So now, I'll turn it over to Marcos Ivo to talk about politics and protocols and then I'll come back to talk about management.
Marcos Ivo: I think Cristiano covered it well. Just for the sake of time, there are 2 policies approved by the Board and they are available on our IR website. One of them is about capital structure and the leverage of Klabin and also a dividend policy. So everything is fully available there and the Investor Relations management is here for you. Okay. Coming back to your question about management, first and foremost, I would like to talk to about Flavio Deganutti and pay tribute to him. And we wish him well in his future challenge. And I also like to address our in-house team and whatever is happening, particularly for the last 2 years. Historically speaking, Klabin is a company with a succession process that is very rich, more and more established by processes that have lighter individual losses. And my succession and others that happened in recent years at the company, just to show you some numbers. They show a substantial growth in the company's earnings, not only absolute numbers, but also margin maintenance and the entry of new products. And this -- thanks to very well-established processes. So within this succession context, today, I'm joined by Ana Cristina, who is our People Manager. Please feel free Ana Cristina to add any comments. But very briefly, in a very transparent manner, I shared with you that Klabin -- well, I've been at Klabin for 12 years. Some friends of ours have been at the company for 25 or 30 years in the company's management. If we consider the outlook or the perspective for the last 12 companies, when I joined the company, Klabin had 1 million, 1.5 million tonnes more precisely. And then, I'll be brief, but we brought 2 machines Sack kraft and Correia Pinto and another recycling machine in the northeast, which is state-of-the-art at the time. And it was so important to develop what is known today as machine 27. We're not going to talk about this now, but we moved to 1.7 million tonnes. And then let's make a leap from 1.7 million tonnes back in mid-2011, now we have 4.7 million tonnes, therefore, 1.7 million tonnes to 4.7 million tonnes. And I said briefly that we are focusing a lot on product portfolio that are more technological products and Klabin's technology and development center was key to the process. But just to mention the recent acquisition is the coated board machine, which among other products bring the white top liner and also adding more commercial complexity to Klabin. Klabin, if you think about and if you consider Klabin and compare it to all our global partners, all partners, you are going to see Klabin in the pulp business with fluff, long fiber, which is registered and approved worldwide for best brands. And then we have short fiber, which is important in terms of efficient logistics. And logistics infrastructure that is very well established and mastered by Klabin. And then in the paper section, we have very complex products from beer, milk or liquid food and also general products, supermarket items, for instance. Now when we move into kraft paper, you know very well how complex the world of corrugated box is today. Klabin supplies papers for many regions in the world. And lastly, our industrial bag production line, which is very specific. And in the past, it was in the Brazilian civil construction industry. But today, nearly 50% of the volume is earmarked to North America and also other regions in the world, not only for civil construction or miscellaneous as we know, in general, from seeds to coffee for Brazil and other regions in the world. So I just wanted to add this about complexity because from 1.7 million tonnes in mid-2011 to 4.7 million tonnes and with product diversification. We previously discussed with our management area and also the Executive Committee that we would focus more strongly on commercial strategies at Klabin, focusing on something which is so valuable, which is niche management for the benefit of margins and also bring the industrial area, more technical area for the same framework of weekly discussions by the Executive Committee. So there are 2 names here before I close my long answer about management. Ricardo Cardoso and Mike Souza, both have 25 years of experience at Klabin. They are top line engineers in terms of project implementation at Klabin for the main Klabin machines. They have their background at Klabin with operating efficiency, safety. And at Klabin, we had already concluded that the industrial area would report directly to the general management. And at the same time, commercial divisions, considering the complexity about market, coverage and naturally, future intentions at Klabin, these would be separate areas. So we have the industrial management now and also the commercial management. And the names, as you know well, these are people I'm not exaggerating. These are big names in the pulp and paper industries, Nicolini, in Pulp and â€“ you know him well. He is a professional for decades in the industry known worldwide by the industry. So I just wanted to wish Flavio well, best of luck. But I also want to pay tribute to the succession process at Klabin and also processes set as a whole in our company. And at the end of the day, despite all these changes, the company still manages to keep on running the strategy designed by the Board of Directors for the same level of delivery as before. I apologize for this long answer, but I think we haven't talked about this before. Thank you for the question, Rafael.
Operator: Next question, Leonardo Correa, BTG Pactual.
Leonardo Correa: I'll focus my questions on the market.
Cristiano Teixeira: Leonardo, I'm sorry, excuse me, I'm going to ask you to speak up. Your audio is very low for us.
Leonardo Correa: Can you hear me better now? I'm having some audio issues.
Cristiano Teixeira: Yes, we could hear you.
Leonardo Correa: So about coated boards to start talking about the market because Cristiano you said you saw some signs of weakness in this market. If you could talk more about this, but what you see in this issue, I think it would help. And the second question to Nicolini about pulp. We've been talking about this, but we saw clearly that the price level in China, 460, 480 maximum pressure level. This scenario has somehow changed. There have been 3 announcements of price increase in June and July. Apparently, it isn't completely done. But now in August, we're waiting to see if we can transfer what was increased in June, but the price is following this path. But I'd like to ask Nicolini, if it's something that may be sustained over the coming months or if you see it differently?
Cristiano Teixeira: Thank you, Leonardo. Okay. So I'll turn to Soares directly. We'll start talking about coated boards, and then Nicolini talks about the pulp market.
Jose Soares: Leonardo, thank you for your question. I apologize. My voice is a little hoarse. I have a sore throat. But on coated boards, what we've seen in terms of demand in the first quarter and the second quarter, rather. But we can see already an improvement in the scenario for the third quarter, which usually is a more active quarter with greater demand, both domestically and internationally. Here in Brazil, we've also felt on the second quarter, a stronger presence of imported products, especially from China. These coated boards do not compete directly with Klabin's products. But in some ways, it does hinder us a little and gives us the feeling of an enhanced competitiveness. However, we've been able to maintain price levels somewhat resilient, both in the international market and the domestic market. So that was the scenario that we saw in the second quarter. And for the third quarter now, we start to see a perspective of greater demand. Okay. So now Nicolini, please.
Alexandre Nicolini: Leonardo, thank you for your question. Well, actually, we start to see some positive signs coming from China despite stocks at ports still at high levels. What we've seen is that the inventory turnover is higher today than it was a few months ago. And that's due to 2 things. One is the domestic paper production that has been improving vis-à-vis a better demand over the past 2 months. We've also seen some announcements of the increase of uncoated papers, for example, and in the hardboard market that follows an increasing trend. And the other aspect is a replenishment of inventory top inventory in the hands of paper producers is still considered low. So we have the formation of inventory. But it is worth noting that the inventory of finished products remains at normal levels. We're confident with the implementation of the price for August. That's nothing but the price announcement made in June implemented in 2 stages, $15 in July and another $15 in August, bringing the price of short fiber to the level of $530 say.
Operator: Next question, Thiago Lofiego, with Bradesco.
Thiago Lofiego: First question, coming back to capital allocation, Cristiano. Just to dive deeper and be more specific. You mentioned that CapEx per tonne that you saw in the market was way higher compared to what you consider to be reasonable through start-up, a new wave of investments at Klabin. I would like to better understand how you have been following out this variable if it's going upwards or downwards. And about the timing for the next growth phase at Klabin. Do you think you could give us more color if it's mid next year or maybe by 2025, just to better understand your mindset about your timing, even if it's preliminary. The second question about wood cost. Last quarter, the cost in pulp wood cost for pulp increased to BRL 822 per tonne. I'd like to understand if this is in line with what you said before, or you consider to be a rise. I would like to understand if this level around BRL 820 per tonne is the next level to follow up into the future? Or do you expect to see more sequential increases for this item?
Cristiano Teixeira: Thank you, Thiago. Look, in order to be to the point, like I said before, it's important to say in a specific manner. There is no forecast for announcement or study of growth project as we speak at Klabin. By the way, we've been following up construction costs, et cetera. I'm joined by Razzolini, our Project Manager. He can also add comments if he wants. But right now, our absolute focus is on delivering well our machine 28. We are very motivated in order to turn that site into a world benchmark. And when it comes to machinery complexity, it is a benchmark. So investments have been made, and there is a lot of upside to come from that side. So we have our total focus on it right now in addition to other small investments about continuity of Klabin. So today, we are not considering any investment, any organic investment, which we've been normally doing. Focus right now in addition to what I said before, ramp-up of the machines and having the best benefit from that side. And on top of that, we also have strong focus on productivity. Specifically, indirect fixed costs. We've been assessing -- well, all the management, all the teams have been assessing opportunities and precisely to adapt to a new reality. As you know, our industry has long cycles. But as we speak, we want to gain productivity and face competition that is set in the market today and perhaps into the next 6, 12 or even 18 months. So we're getting ourselves ready when it comes to efficiency and cost for a period of up to 18 months, which we consider to be tough. So this is our current focus. As for wood cost, oh, by the way, Francisco wants to add to our comment. Just a second, please.
Francisco Cesar Razzolini: Good morning, Thiago, good morning, everyone. With regards to inflation and investments, I think we see signs both ways. Some important commodities for production and machinery have been like copper and iron ore, they have been affected by the market. But we also have points of concern like semiconductor. So it's important in our automation and electronics and also globalization. There are many questions today about how and where our products are being manufactured. We have seen value of investments, notices like ours, approximately BRL 12 billion and others are way higher. So our current commitment is such a high amount with products being manufactured with no guarantee or into geopolitics. That's also a very strong concern. And in Brazil, civil construction is very busy. But also many projects which were canceled in the world. So like Cristiano said, this is the moment to focus on our operations, our productivity and the project ramp up. And we'll keep on doing our remarks about potential assets, but with no project being considered in the short term.
Cristiano Teixeira: Perfect. Marcos?
Marcos Ivo: Thiago, about costs, I'll be very broad in this aspect. And maybe we can clarify this topic. Firstly, Klabin has been delivering costs that are slightly below what we said on Klabin Day late last year and also in our previous earnings conference call. That's something to highlight. When we think about pulp cash cost, what do you expect to see in the second half of the year for pulp cash cost? For the second half of the year, we expect it to be at the same level that we had in the first quarter of 2023 and it includes wood. More specifically about wood, we don't want to give an exact number. But we also shared with you for a while that the peak price of wood, the peak cost of wood in our products happens this year over 2023. Actually, it already happened in practice in 2023. And it remains at this level for 2023 and '24. A first step of reduction is as of 2025. We explained that previously many times. This drop will happen from 2025 to 2033 on a year basis. When it comes to the total cash cost at Klabin, there is a table that clearly shows this on our release. We've been given signs since Klabin Day. The total cash cost at Klabin per tonne, the first 6 months of the year increased by 10%. We were speaking of 2 digits low. Now we are at 10%. So 10% is the cap that we see to increase in the total cash cost per tonne in 2023 vis-a-vis 2022, we see this 1-digit high up to 10%.
Operator: Next question, Caio Ribeiro, Bank of America.
Caio Ribeiro: Thank you for this opportunity. First, about the global containerboard markets. We've seen pressured prices throughout the year. And I'd like to ask you if you see any indication of improvement at the end? And if you can also give us some color on how you see the evolution of entry of capacity in this market and the demand, especially during the second half of the year that would be great? And second, changing the focus to pulp. How do you see the environment in terms of demand in different regions, especially in Europe and China, if it justifies any change in your commercial strategy to concentrate volume in one region or another?
Cristiano Teixeira: Thank you. Soares, please go ahead.
Jose Soares: Good morning, Caio. Thank you for your question. So if we look at the prices of containerboard in general, what we see is a stability in terms of prices. We came from a continued drop since the middle of last year. And today, the scenario is stable. The prices have reached levels that we start to see capacities being closed in North America because the price in some regions have reached levels that are lower than the cash cost for production of some manufacturers and that has been leading to capacity closures. At the same time, in Europe, we see postponement of plants with new capacities that had been announced and, are being delayed at this time or even canceled projects being canceled. So what we see a greater balance between supply and demand, a reduction in inventory levels here in Latin America. We went through almost 1 year with the majority of our clients being overstocked. It took us about 1 year to solve this overstocking issue. And now we can see that the market is starting to purchase again and the prices are starting to show some recovery. Still low, slow, but we can see an improvement in price conditions from the moment that the inventories have been equalized as they were above normal for a considerable amount of time.
Cristiano Teixeira: Thank you, Soares.
Alexandre Nicolini: Caio, thank you for your question. Caio, the scenario in Europe is kind of the opposite of what we see in China. We have a more attentive look towards the development in the pulp market and the paper market in Europe. It's more concerning. The demand is very depressed. Inventory levels overall for pulp and finished products remains high. All eyes are to revenue management. As always, we have some degree of flexibility to move volumes to other regions. And this is a constant assumption that will remain for the third quarter. But today, it is the most concerning market. I'm talking about mature markets overall. But the United States is a market that's more concentrated in the tissue segment. So it's not so concerning for our case. But Europe is a market that remains more challenging in terms of demand for pulp and paper.
Operator: Next question, Marcio Farid with Goldman Sachs.
Marcio Farid: I guess most of the questions were answered. I have 2 follow-up questions. Firstly, about cost. I guess the company had been through or gave us a cost about beyond double-digit per square meters better than expected. And we can see some raw materials, particularly Armco and diesel growing back strongly. I know you already mentioned about costs that remained high. But we want to understand that you foresee better cost scenario compared to what you expected earlier this year? I remember that in the previous call, you said that the guidance was maintained. But just to better understand if that's really true. And the second part of the question is more philosophical. Cristiano mentioned that the new machine, machine 28 add some complexity commercially speaking, and also logistically speaking. Naturally, there is an upside. But you can capture margins from these challenges and complexities. But on the other hand, when you consider about investors demand, Klabin also became more complex. It's more complex to analyze more product lines and different markets. So question for you is, how can we make Klabin less complex and have a cleaner vision for investors. I don't know if that's a suggestion. But one of the things we recently heard is maybe more details per business and type of paper in terms of disclosure. So we can dive better into different lines. So I would also like to hear from you how we can un-complicate Klabin for investors.
Cristiano Teixeira: Farid, Marcos is going to talk about costs, and I'll come back.
Marcos Ivo: Farid, I'll be very specific. The answer is, yes. We can see a slight improvement in terms of what we said on Klabin Day and on Q1. It's a slight improvement. I'll try to share some numbers to help. Like I said before, pulp cash cost expected for the second half of the year is in the level that we had in the first quarter. What I mean by level is something very close. As for total cash cost at Klabin, 2 digits low for the year, we imagine something from 12% to 13% growth in the cost per tonne. Now we begin to see and envisage 10% growth in the first half of '23 vis-a-vis '22 as initially as a cap. So year-to-date for 2023 is one high digit up to 10% and that's sustainable. By the way, changes in prices of some items that we use in our production process and also owing to several actions by the company, so that's how it structured.
Cristiano Teixeira: Farid, that was a great question. By the way, I have to admit that we constantly work on this reflection about how to translate what we actually do. And I have to mention this. If we think about our global peers, the portfolio of products and markets where we are, I think this is one of the most complex companies worldwide. I have to agree. But I'll try to be brief about this context and then we'll consider something more structural to communicate with you and the market in general. But our risk now to simplify, make a simple vision of Klabin. And let's see if you look at it the same way. So today, Klabin, considering this 4.7 million tonnes, I'll consider only for our conversation purposes that we have all the ramp-ups of the machines ready to grow. For being at 4.7 million tonnes is 1/3 pulp, 1/3, let's call a consumer, and I'll give more names about companies just to it is yet the container, and 1/3 corrugated box supply. So 1/3, 1/3, 1/3, and I'll dive into each one of them. Let's consider 1/3 for pulp first. As you well know, we have 3 fibers. The most important fiber office, 1/3 is fluff when it comes to results. And I'll mention some names, obviously, respecting our global peers. But considering this 1/3 for pulp, I would say perhaps we have to have 2 companies if you could think about it on a relative term. If we focus on fluff, maybe one of the highest margin products at Klabin, precisely considering efficiency. Please bear in mind, Klabin was the first company to bring and design the specific machine for fluff in the world. There are big players of fluff in the world, IP, for instance, and others as well, but IP. So we are in the market, which is a highly added value market with extremely hard to please end users. Klabin is approved worldwide and undoubtedly, Klabin has the best cash cost in the world, consumer efficiency and technology. It comes with a price. It is in the company's ROIC and the company's design. But considering this, I repeat, from this 4.7 million, 1/3 is pulp. Within this 1/3 for pulp, we have the 3 fibers and fluff is the reference and IP is a comparison. Now the other part of the third for pulp, I could mention Susana and other companies in the world. That's a product in which efficiency, cost and a good logistics infrastructure. By the way, we are speaking of 1 SKU that is very well dimensioned along the chain. And cost, here, in this case, is the name of the game. Considering this context for short fiber pulp, what is Klabin's differential? I mentioned the company that we could compare. So within this context, I believe the commercial strategy that Klabin has been using, well, naturally, there is an obvious difference in volume. Maybe we are comparing only short fiber pulp 1 million compared to 10 million tonnes for the exact share. And this 1 million by combining fibers and going to the size of the business, we can choose markets. And in this case, precisely the reference I mentioned before, going to Nicolini's commercial strategy and the whole area strategy in order to gain through mix and commercial intelligence, the best price and the best margin possible. And I think this you can see if you compare average prices of Klabin for this product with other peers' products. We can have these for fluff and also from a short fiber whole. So that's for 1/3 of Klabin. Next, another 1/3 of Klabin, I mentioned I'm sure. So I draw your attention to paper and packaging. If I were to work on a portfolio of products, mentioning different companies, Kraft Package is our client as well. So Kraft Package is a U.S. company focused on different kinds of products, boards in the vast majority, virgin fiber. Klabin only has virgin board and our main focus, are liquid, foods and beverages. So when we consider our consumer products, these are high-end products, LPV and CUK. And we have other products for food service, particularly now with the start-up of machine 28. But the main references of Klabin in the world, all these 2 products and the volume of this coated board machines. And from then on, all other products are made specifically from virgin fiber boards. Now wrap back in general, but more specifically, we could think about -- for instance, and for CUK, as you know, U.S. companies. All these products I mentioned. I'm referring to the 2/3 of Klabin and all the comparisons I mentioned Klabin performs highly competitive cost owing to efficient volumes and machines. The 3/3 of Klabin, I will refer to it at corrugated box chain. Just for explanation purposes, and then the IR department will have a job to translate what I'm saying right now. But for the 1/3 of corrugated box products, it includes all the technology that we've been mentioning about Eukaliner, low gram mature or weight paper with important differentiators for efficiency gain to conversion. And we also have higher weight of rammed papers dedicated to specific products like fruit and regions in the world, including Brazil and also covering Latin America in general. So we have a very great specialty for foods. And now we have this heavier paper using --. Most of it is pine and also very technological course like semi-chemicals that are specific for this sector. We are an important benchmark for these papers. However, when you think about the corrugated box chain, it's also focused on integration and our packaging area. So as you know very well, we have 1 million tonnes of corrugated box. By the way, just as a side comment, 30% of our Figueira project, the Packaging Officer is here. If you want to add comments, I always like to have them next to me sure they need to add comments. But we have Figueira with 2 corrugating machines, extremely technological in the countryside of Sao Paulo with high conversion efficiency. And this is for the second quarter of next year. So in this corrugated box chain, we can increasingly see Klabin integrating its papers in the packaging and also selling packaging in Brazil and based on cash price in Brazil and boxes in Brazil. Historically, they follow GDP. But in recently years, benefiting from the so-called pandemic, there are real increases above inflation. So stable prices in packaging, efficiency gains owing to the reduction in weight or grammage. As a reminder, packaging is area square meter. There is a cost reduction, fiber per tonne and also more efficiency in conversion with more packaging area. So I'm sorry, I tend to give long answers and I'm being reprimanded. So to summarize, 1/3 pulp, mostly focusing on fluff, efficiency and commercial intelligence of our pulp area, 1/3 consumer, high end in the industry. We are with the main leading brands in the world and very well established on average, 3-year contracts. And finally, I'll put together kraft paper sackraft or containerboard together with our packaging area where we make the boxes and papers. So Farid, unfortunately, we are part of the business that is very simple for us. But certainly, we can find a way to better communicate with you. And absolutely, through our Investor Relations area, we will think about more educational ways to explain it. Thank you very much. And once again, I apologize for my long answers.
Cristiano Teixeira: I apologize for the delay. We were waiting for the operator to call us for the closing remarks, but let's go on to the closing remarks then. So as for the third quarter of 2023, even knowing that it is a seasonally better period, we still have the perception that it will be challenging. So considering this context of the market, we will remain vigilant and focusing on operational efficiency with cost control and optimization of the product mix and markets. In addition, we will continue to work hard in the progress of the works and the Figueira project. I mentioned recently that we're 30% through the works. And for the moment, delivery time, as I mentioned, is the second half of '24 and also in the ramp-up and qualification of the products on machine 28 with our main customers. I thank you all for your participation and now see you on Klabin's next earnings conference call.